Operator: Good day, everyone, and welcome to The Williams and Williams Partners Third Quarter 2017 Conference Call. Today's conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. John Porter, Head of Investor Relations. Please go ahead.
John D. Porter - The Williams Cos., Inc.: Thanks, Chris. Good morning and thank you for your interest in Williams and Williams Partners. Yesterday afternoon, we released our financial results and posted several important items on our website. These items include press releases and related investor materials, including the slide deck that our President and CEO, Alan Armstrong, will speak to momentarily. Joining us today is our Chief Operating Officer, Michael Dunn; and our CFO, John Chandler. In our presentation materials, you will find an important disclaimer related to forward-looking statements. This disclaimer is important and integral to all of our remarks, and you should review it. Also included in our presentation materials are various non-GAAP measures that we've reconciled to Generally Accepted Accounting Principles, and these reconciliation schedules appear at the back of today's presentation materials. And so with that, I'll turn it over to Alan Armstrong.
Alan S. Armstrong - The Williams Cos., Inc.: Thank you, John, and welcome everyone. I want to begin by introducing John Chandler to this call as our new CFO. He joined Williams in September and he's no stranger to many of you obviously. John enjoyed a long tenure at Magellan as CFO and he actually went to Magellan whom we spun it out from Williams. We're very pleased to be welcoming John back to Williams and you'll hear more from John later this morning. Of course, John is replacing Don Chappel who's retired from Williams, and I want to thank Don for all of his contributions to the company and we certainly wish him well in his retirement. As for the quarter, I'd like to start by thanking the team for another strong quarter of fee-based revenue growth driven by the project execution front as we continue to bring projects into service, on-time, and within our budgets. Importantly, we also continue to win meaningful new business which will keep our project execution teams busy for many years to come. The large scale advantage positions we've established continue to generate growth as evidenced by our strong results, with the year-to-date adjusted EBITDA up versus year-to-date 2016 despite the sale of over $3 billion of assets that generated $110 million of EBITDA in the nine months ended September 30, 2016, and the impact of two hurricanes that shut-in volumes from offshore producers. We substantially reduced our direct exposure to commodities. And as a result, our current business' steady growth is both predictable and transparent as it is being driven by consistent fee-based revenue growth under long-term contracts. Our strategic focus on natural gas volumes continues to deliver results. So far in 2017, we placed four of our Big 5 Transco expansion projects into service, including Gulf Trace, Hillabee Phase 1, the Dalton Expansion, and the New York Bay Expansion; with the fifth of the Big 5, the Virginia Southside II project, expected to be placed in service during the fourth quarter of this year. The incremental capacity from our fully contracted Transco expansion projects going in service so far this year reflects a 25% increase in Transco's design capacity. And year-to-date, Transco's transportation revenues have increased $74 million, a 7% increase over last year, and this is even though most of those 17 projects are being placed into service in the last half of this year. So along with our successful project execution, I'm also pleased with how we've strengthened our balance sheet and credit profile, significantly reducing our debt and lowering our overhead expenses. In fact, year-to-date, in 2017 Williams Partners has reduced long-term debt by $2 billion and increased cash by over $1 billion. This reduced debt level and increased cash balance has positioned us to self-fund our attractive slate of growth projects using cash on hand, retained operating cash flow and debt without the need to issue public equity all while maintaining solid investment grade credit metrics and coverage. At the corporate level, WMB has paid down $372 million in debt, and total adjusted overhead expenses have been reduced by about $40 million when compared to the same period in 2016 as we were able to realize overhead reduction in several ways, including moving from five operating areas to three and closing the Oklahoma City office in June of this year. So let's look at the results for the third quarter of 2017, and looking at the GAAP results first. WPZ delivered $259 million in net income in the third quarter of 2017, and WPZ's adjusted EBITDA was $1.1 billion. Our current business segments, the Atlantic-Gulf, the West, and the Northeast G&P – so those assets that we've retained, the businesses we've retained – combined to increase our adjusted EBITDA for the quarter by about $13 million. However, the full WPZ comparison shows a decrease in our third quarter adjusted EBITDA results versus third quarter of 2016 of $88 million. Of course, this was driven primarily by the absence of over $100 million in adjusted EBITDA contributed from the NGL and Petchem segments earlier, and of course these were sold by the partnership and this included the Geismar Olefins plant which we sold in July of this year, the associated RGP Splitter that we sold in June of this year, and our former Canadian businesses that were sold in September 2016. I would add here that our third quarter 2017 adjusted EBITDA increase from our current businesses includes an unfavorable impact of approximately $8 million from Hurricanes Harvey and Irma and contract restructures that lowered the West area results. So those are both contract restructures that we did in the Barnett as well as in the Niobrara area. So we're about to roll out of those or the periods of comparison of those, but those certainly had impacts on the West. Looking to DCF for the third quarter of 2017, Williams Partners generated $669 million in DCF compared with $795 million in DCF for the third quarter of 2016. In addition to the unfavorable change related to the big asset sales, the DCF for third quarter of 2017 has been reduced by $59 million for the removal of non-cash deferred revenue amortizations that were associated with the fourth quarter of 2016 contract restructuring in the Barnett Shale in the Mid-Continent region. So we mentioned this reduction in last quarter's call as well, partially offsetting the unfavorable changes with a $37 million decrease in interest expense. Importantly, WPZ coverage for the quarter came in at 1.17 and puts us at 1.24 year-to-date. The cash retained due to this healthy coverage supports further investment in our high-return growth CapEx portfolio. So now we'll take a look at each of our segments, starting here with the Atlantic-Gulf. The adjusted EBITDA for the Atlantic-Gulf came in at $431 million, a $3 million decrease from the third quarter of 2017. The year-over-year comparisons were impacted by the short-term benefit we had in Q3 of last year where we were gathering and processing gas for a competitor's Pascagoula plant, and so that we had a big lift in the third quarter of last year as you all remember where we pointed out. And in addition to that, in the third quarter we had impact from both Hurricanes Harvey and Irma. Transco's growth projects contributed $46 million in fee-based revenues incremental, so a very good top line quarter here for Transco, partially offsetting the increased fee-based revenues with increased O&M expenses associated with Transco's required integrity and pipeline maintenance programs. These increased expenses are something we've been expecting and planning for. But I would say, due to timing of work and invoices, the expenses were slightly more concentrated here in the third quarter as usual. So overall, for the year, we're on plan and certainly within our expectations as we provided guidance there, but we did have it pretty lumpy here in the third quarter. A lot of that is just because we have the ability during this part of the year, right before we've got lines tied up for winter service, we've got a period that we can get in and go and get a lot of that work done, and we certainly got a lot of that done here in the third quarter. So now turning to the West. For the quarter, adjusted EBITDA came in at $426 million, down by $7 million versus third quarter of 2016. Fee-based revenues were down on an adjusted basis primarily due to contract restructures. And also, EBITDA from JV's was lower due to the Delaware Basin joint venture sale from the first quarter. So recall, in the first quarter of this year we sold our interest in a Delaware Basin JV to Western Gas. The structural impacts were partially offset by continued tight O&M and SG&A expenses, and so really proud of the team continuing to put a lot of pressure on our overhead costs and our own direct O&M costs in the West. Some good news I would tell you for the West, we did see increased volume sequentially. So when we look at the West, gathered volumes up 5% versus 2Q of 2017. You'll recall in 2Q we said we expected to see things turning that way as we were starting to see volumes come back mostly due to the strong volume growth we saw in basins like the Haynesville system, and we are seeing the big volumes in the Haynesville coming on out there and we're seeing this continue in the fourth quarter. I'll provide a little more on that just a moment. Now looking to the Northeast. Overall, for the third quarter, our Northeast adjusted EBITDA increased $26 million compared to the same period last year. The current year benefited from higher proportional EBITDA from our Bradford County JV. Our Northeast volumes were up over 0.5 Bcf a day, a growth rate of over 8% in looking at 3Q of 2017 to 3Q of 2016 on all these operated systems. So this overall gathering growth was driven by both the Bradford Supply Hub and the Susquehanna Supply Hub growth. This growth was partially offset by lower Utica volumes. But again, just like we've talked about a little bit in the West, we were pleased to see the Utica volumes begin to turnaround, with sequential growth from 2Q of this year. And I would just note on that. Most of that turnaround in the Utica is actually on our Flint system which serves the dry Utica. So now, let's look at year-to-date and take a look at what happened in our year-to-date results. In spite of the hurricanes and the removal of $110 million from our NGL-Petchem EBITDA, Williams Partners still delivered year-to-date GAAP net income of $1.21 billion and we delivered adjusted EBITDA year-to-date of $3.32 billion, an $8 million improvement from the corresponding period in 2016, primarily due to increased fee-based revenues, increased commodity margins, and an increase in proportional EBITDA from joint ventures and lower overhead expenses. Adjusted EBITDA from the retained businesses was up $118 million versus the same nine months in 2016 for our retained businesses, and so that is from the Atlantic-Gulf, West and Northeast G&P. So noisy as we got some of these asset sales coming out here on the year-to-date numbers, but overall really pleased to see the way our retained businesses are performing. Year-to-date coverage of WPZ is now 1.24, on the back of $2.1 billion in DCF. And this very solid coverage excludes the $175 million of EBITDA that is revenue amortization associated with the Barnett and Mid-Continent restructuring. So just to remind you on that, we include that earnings in the – obviously, in the EBITDA calculation, we included it in earnings but we pull that out of DCF. So now let's look at some of our recent achievements as we continue to build long-term sustainable growth in the business. Several of our recent achievements contributed directly to our performance this quarter, including two more of our five planned 2017 Transco expansions placed in service during the quarter; those would be Hillabee and Dalton. And on Atlantic Sunrise, we started construction and have already placed a portion of Atlantic Sunrise into early service on September 1 of this year, providing about 400,000 dekatherms a day of firm transportation service on Transco's existing mainline facilities, and of course that serve delivery points as far south as Choctaw County, Alabama. So we're really excited to be starting to see the Transco system turn around and be able to deliver volumes to the south. And I can tell you, that's very much needed as we're seeing a lot of demand growth occur in the southeast on our system. We are seeing exciting spurt of growth in the Haynesville. In August, we placed into service additional CO2 treating capacity. And as a result of customer activity and our increased treating capacity, volumes on the Haynesville system grew to 1.45 Bcf a day here in late October, and we now expect to see volume growth of over 30% this year in the Haynesville, making it our fastest growing basin this year across the Williams assets. Also, as many of you know, we also recently won new acreage dedications from Southwestern in West Virginia, and we agreed to provide up to 660 MMcf a day of processing capacity. And by the end of the third quarter, we were already processing an incremental 100 MMcf a day of Marcellus wet gas from this new dedication. And with the addition of this 100 MMcf a day, the exit rate for our 3Q 2017 OVM processing was approximately 540 MMcf a day, and Southwestern is rapidly growing their wet Marcellus volumes on this dedicated acreage, and we're really thrilled to have the opportunity to help them maximize the value of this prolific acreage. We've got a great relationship with Southwestern and the teams are working very well to maximize the value of that acreage. We also enjoyed significant achievements that we expect to contribute adjusted EBITDA in the fourth quarter. The Transco New York Bay Expansion project was placed in service here on October 9, and this was the fourth of our five Transco planned expansion projects. Transco continue to push new expansion opportunities forward as well, receiving a favorable environmental assessment on the Gulf Connector Project and applying for a FERC certificate for Rivervale South to Market, a new fully contracted 190 MMcf a day Transco expansion to New York and New Jersey markets. It's just another project that is supplying both power demand and replacing fuel oil with cleaner and more affordable natural gas in that region. And now let's look at what's coming soon. Our commitment to continued growth is highlighted on this slide. Again, Virginia Southside II is our fifth Transco expansion project this year, and so we're really excited to see that conclude and looking forward to that coming on some time here in the fourth quarter. We placed Phase 1 of the Garden State Project in service in September as well. That's kind of a little bit of a bonus project on top of the five, and we will be placing that full project into service in the second quarter of next year. So that project is going well too. We briefly touched on our Southeastern Trail Project last quarter. We were pleased with the results of a successful binding open season. However, we are pursuing an even more strategic opportunity that will serve those open season customers and provide a strategic expansion that will serve the broader industry with direct connection of low-cost reserves to these growing demand centers. So we certainly heard from the market that they needed the additional supplies, and we're trying to utilize that demand to make even more strategic expansions. So certainly not going to step over the top of the great opportunity we have there, but we are taking our time here to make sure that we make the very most we can out of that very valuable southbound expansion capacity on Transco. In the Northeast, our big Susquehanna Supply Hub expansion remains on schedule, with an expected in-service date in late 2017. This expansion done for Cabot should drive higher volumes in Susquehanna, even ahead of the Atlantic Sunrise project. And this area just keeps on delivering growth, and we are already planning the next big expansion for this area. In Wyoming, we were able to bring more volumes on to our Wamsutter system after placing our Chain Lake compressor station into service in October. And this is another project that was done on-time, and actually this one under budget to meet the growing demand of a key customer there in the Washakie Basin. And we're already exploring additional expansion opportunities for Chain Lake with two other customers in the region, and this is really an interesting area where we're seeing an emerging new play be developed in an old field in that area that was originally completed with vertical completions and a real opportunity up there now for horizontal application to that area. With regard to guidance, our guidance for 2017 EBITDA and DCF remains firm, as does our previous distribution and dividend growth rate. We plan to announce our 2018 financial guidance with our fourth quarter 2017 financial results, and of course that will be in the first part of 2018. So as I wrap up, I'd emphasize we're pleased with the execution and our clear line of sight on long-term steady growth. After substantially reducing our direct exposure to commodities, our current business' steady growth is being driven by consistent fee-based revenue growth via long-term contracts, and we expect 2018 and 2019 to be exciting years as we finally see the bottlenecks in the Northeast clear to let the value of our long-term strategy be realized both in the Northeast and on our Atlantic-Gulf systems. So really pleased with the way things are looking right now in that area. And then finally I want to, again, thank Don Chappel for his great work at Williams and I wish him well in retirement, and I welcome John Chandler to this call as our CFO. And with that, I thank you very much and we'll turn it over for questions.
Operator: And our first question comes from Jean Salisbury with Bernstein. Please go ahead.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Good morning. The deal with Southwestern was much more incremental volume in that area than what I had originally modeled. Without getting into too much customer details, can you speak to whether you expect tariffs on that contract to be generally in the range of your existing tariffs there or if you had to take a material reduction to get the deal done?
Alan S. Armstrong - The Williams Cos., Inc.: Good question, Jean. I would tell you that the pricing on that was pretty similar to our earlier pricing. I think the area that we did provide some incentive on was for the Utica volumes. But we do have a great service offer up there and we certainly offered that because we have existing capacity there with OVM. So I would just tell you we're very pleased with the pricing on that and provides us a very high incremental return in that area. Having said that, of course we've invested a lot of money in the first place up there so you would expect those higher returns. So overall, I think we priced it about like we expected. It's just that we've got so much latent capacity to use there, that we've got a big incremental initial cash flows that come off of that business as a result of the available capacity we have in the area.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: That makes sense. So in terms of the EBITDA per Mcf range, it's sort of similar to what you had said at the Analyst Day?
Alan S. Armstrong - The Williams Cos., Inc.: Yes. No change. That is a positive impact of what we showed there at Analyst Day.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Great, and that makes sense. And then as a follow-up. I know you probably can't comment too much more on Southeastern Trail. But is the way to think about it, that you have enough commitments for the low end of your volume options on the project and in what you're working on, is incremental volumes that maybe would go further on the system as well?
Alan S. Armstrong - The Williams Cos., Inc.: Yeah. Maybe another way to think about it, I would just say we have a very attractive project that just utilizes the capacity on the system, and one that certainly rivals any other project that we have on the system from a return standpoint. But we really want to make sure, because there's very limited amount of that very precious capacity coming south, and the more capacity we do the more expensive it gets, and so it's kind of a reverse economies of scale on that just because it requires more and more capital investment as we expand that capacity. And so we want to make sure that we're getting everything we can out of that investment, including strategic benefits that would include connections to low-cost reserves. And so a great work by the team. We're really working well with a number of players on that. I would tell you I'm pretty optimistic, but the good news is we have the Southeastern Trail project if we choose to go forward with that. That is in hand and we're prepared to do that if we can't get the other deals done on a timely enough basis.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. That makes sense. So if you choose to do a larger volume project that would have higher costs, that you need to charge the same tariff to everyone, is that the balance that you're working on?
Alan S. Armstrong - The Williams Cos., Inc.: No. It's a little more complex than that, but that's probably about as far as I want to go with it.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. No, it's fair. Thanks a lot. That's all for me.
Operator: And our next question comes from Jeremy Tonet with JPMorgan. Please go ahead.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Good morning.
Alan S. Armstrong - The Williams Cos., Inc.: Good morning.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Don, good luck in retirement. John, welcome aboard.
John D. Chandler - The Williams Cos., Inc.: Thank you.
Jeremy Bryan Tonet - JPMorgan Securities LLC: I wanted to start off with the O&M. It seems like there was a bit of an uptick this quarter in the Northeast and in the Atlantic. And I just wanted to see if there was anything to this, if this is one-time in nature or seasonal or is this kind of a new run rate. Any color you can share there?
Alan S. Armstrong - The Williams Cos., Inc.: Let me turn that to our COO, Michael Dunn.
Michael G. Dunn - The Williams Cos., Inc.: Yeah. First in the Northeast, a part of that was the true-up of a tax issue, and so I wouldn't say that that was obviously a run rate issue. But the majority of that Northeast was a portion of that as well as some additional work that we were doing for landslide mitigation that's not typical, and that's pretty lumpy work depending on when we see something we need to go out there and fix. So that's really what drove the issues in the Northeast. On the Atlantic-Gulf, and specifically on Transco, Alan touched on that earlier in his comment in regard to our integrity work that's underway there, and typically we see those costs every year rise in the third quarter because that's our opportunity to get the work done. And like a lot of our peers in the industry as well as our customer companies, there's a lot of integrity work underway across the U.S. on the natural gas infrastructure, and a lot of that's driven by either the regulations or the records reviews that a lot of companies are doing. And once you find issues within your records, and a lot of these pipes are quite old, and when you research those records you find that maybe you need to go out and do some hydro tests at some areas where you're not certain of the records covering the entire area where it was originally hydro tested. And so we've taken on a lot of that work this year and we would expect to see more of that work next year as we continue to go through those records as well as just our ongoing integrity management programs that we're undertaking across the assets. And that's really what we're seeing on the Transco system. I would say that quarter three is typically our higher quarter for spend, and you certainly can't extrapolate that across four quarters of a year to come up with an annualized number. It's pretty difficult if you look at our history, higher than third quarter.
Jeremy Bryan Tonet - JPMorgan Securities LLC: That's helpful. Thanks for that. And I just wanted to touch base on the Central Penn Line a little bit more. And any more thoughts or details you can provide around timing and if that could be something that comes online sooner or later or just any other details as far as that kind of mid-2018 in service I think you've talked about.
Michael G. Dunn - The Williams Cos., Inc.: Yeah. We're really pleased right now that we've started construction on the Central Penn Line, which is the key greenfield infrastructure for Atlantic Sunrise, and we are targeting at mid-2018 for completion of the work on that pipeline as well as our compressor stations. And I will tell you that obviously weather is a big factor there with the winter construction for the pipeline and compressor station, but we're off to a good start so far and we're still targeting, as far as our project teams are concerned, a mid-2018 in service date for the completion of the work. And then we'll be commissioning activities that occur after the mechanical completion of pipelines as well as the compressor stations. So as you are probably well aware, we typically risk-adjust the revenues that you would see coming through in our forecast. But right now, we're marching forward for a mid-2018 in service date for the facilities that we have underway right now.
Jeremy Bryan Tonet - JPMorgan Securities LLC: That's helpful. Thanks. And then just one last one. I was curious on your thoughts in what you're seeing with Northeast basis differentials and specifically some of the commentary we've been hearing from some of the producers regarding a potential volume curtailment given these tough differentials. Any thoughts you could share there?
Alan S. Armstrong - The Williams Cos., Inc.: Yeah. We certainly did see some degree of curtailment like we often do during the shoulder months, and prices certainly were very depressed because there was very little local load. So if you think about what drives the volumes inside the circle, if you will, or within that region, the weather pattern was very mild there, and so very little local load there this third quarter which will obviously put a lot of pressure on basis. I think in addition to that, we had a lot of people building up reserve and expecting Rover to be on schedule, on-time, and that's hard to plan for when it moved as dramatically back as it did. So you probably had a lot of capital investment ahead of that that was too late to turn it back. So we probably had a little more production, a little more gas-on-gas competition, without any real exit from the area, just kind of moved the circle out a little bit but not really in each market. And so I think that it's going to take some of the projects that Colombia has and then ultimately Atlantic Sunrise, and of course finally when Rover gets in the first quarter, gets out into some new markets, to really see that ease. However, we always see here in the fourth quarter and the first quarter, if we get some normalized weather, we will see the basis differential flatten out just because the local load will be coming on. And in addition to that, I would say we are seeing some new power plant load that'll be coming on next year. And so those are all positive things that are moving us forward towards better basis differential, but certainly the third quarter is pretty painful and we did see some volume shut-ins on our systems.
Jeremy Bryan Tonet - JPMorgan Securities LLC: That's all very helpful. Thank you.
Operator: And our next question comes from Ted Durbin with Goldman Sachs. Please go ahead.
Theodore Durbin - Goldman Sachs & Co. LLC: Thanks. First question is just coming back to the Atlantic Sunrise and the Central Penn Line now that you've gotten into construction a bit. I wonder if you can fine-tune your CapEx assumptions. We've thought of this as around $2.6 billion I think on a gross basis. Is that a good number for the project?
Michael G. Dunn - The Williams Cos., Inc.: Yeah. We still are holding at that number. We obviously keep some contingency within our project forecast to remedy any situations or issues that arise during construction. But we believe that's still a pretty good number.
Theodore Durbin - Goldman Sachs & Co. LLC: Great. And then I know you're just starting to get this in service. But as you think about the 42-inch line I believe, is there an ability to increase the capacity beyond the 1.7 Bcf a day that you've put in there, and what are your thoughts on doing that as you see the demand to get out of the basin?
Michael G. Dunn - The Williams Cos., Inc.: You know, as usual, we'll wait and see if there are enough demand for projects. We do have some other projects we're looking at as well, expanding out of the basin, and so I think it is a little bit to be determined. So if you think about other projects like Constitution, probably be determined, that'll probably be the next expansion. And so I think people would kind of wait and see on that. We also have another couple of other projects that we haven't provided any announcement on that we're working on, that could serve to get volumes out of the basin as well. So I'd say those probably go first and, as you know, we get the existing project we're working on built before we talk about expansions on another one, and so that's where we stand today. But in terms of its expandability, certainly physically there is expansion opportunity on the system.
Theodore Durbin - Goldman Sachs & Co. LLC: Great. So that's helpful. And then I'd love a little bit more color please on the West. You mentioned the Haynesville really picking up and sounds like momentum into the fourth quarter. Is that the main driver of that 5% increase in volumes? And then how do we think about, call it, unit economics I guess if the Haynesville is where you're going to see an uptick as we move into 2018. Would that be positive or negative to your overall unit margins there?
Alan S. Armstrong - The Williams Cos., Inc.: Yeah. Great question. I would say in the West that the Haynesville is probably just slightly above our average on unit margins against all of our other West gathering business. And so it's a very attractive basin for us to see growth, especially at the level it's been growing, so that's very positive. The other part of your question was other areas. I think we had five of our western areas that we saw sequential growth in, and so we are seeing some turnaround in some of those areas. I would say the areas that probably we would expect to see growth – have the most impact would probably be the Haynesville, the Eagle Ford, and the Wamsutter area, particularly as we get into 2018 on Wamsutter because there's a lot of activity going on in that basin that will turn that around as well. So but I think that's probably about the best explanation I can give you on that. So overall though, I think as we mentioned last quarter, we were seeing some of those areas bottom out and start to turn around, and that's exactly what happened.
Theodore Durbin - Goldman Sachs & Co. LLC: Great. Very helpful. I'll leave it at that. Thank you.
Alan S. Armstrong - The Williams Cos., Inc.: Thank you.
Operator: And the next question comes from Colton Bean with Tudor, Pickering, Holt & Company. Please go ahead.
Colton Bean - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning. I just wanted to check on the Geismar supply contracts. It's a little bit tough to parse out through the financials. Should we look for that to start up kind of on July 6 with the commencement or the closing of the sale? And if so, can you guys quantify what the impact was there?
Alan S. Armstrong - The Williams Cos., Inc.: I do not have that number for you. I think you can call Brett or John to get a little more detail on that. But you are correct, that that actual contract would've started there upon the sale of that asset. So, but bottom line, that plant is running well and we're serving with ethane volumes. Obviously a choppy quarter because of the hurricane, and we did have some impact on a couple of our pump stations on that system due to the hurricane. But overall, the relationship with NOVA is going very well and we're providing them a lot of ethane.
Colton Bean - Tudor, Pickering, Holt & Co. Securities, Inc.: Got it. Okay. And I think you just alluded to kind of the 2018-plus outlook. But just in terms of the quarter-over-quarter step up on the processing side of things, was there a particular basin that really resulted in that, whether it's Niobrara, Piceance or was that more of a general uplift across the systems?
Alan S. Armstrong - The Williams Cos., Inc.: Well, yeah. You named two of the areas that saw some of that uplift. And as well as I mentioned, looking broader, OVM obviously saw a pretty good step up as well as the Southwestern volumes got added during the third quarter.
Colton Bean - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. So for the Western segment processing volumes, mostly those two in terms of Piceance...?
Alan S. Armstrong - The Williams Cos., Inc.: Yeah, Piceance. We also saw WPX volumes in the San Juan Basin lift up a little bit as well. So we also saw some positive processing business from WPX as volumes raising in the San Juan Basin as well, so pretty well across the board. We saw a pretty good movement. Probably the one area that we didn't see much increase was in the Southwest Wyoming area, which is at our Opal facility.
Colton Bean - Tudor, Pickering, Holt & Co. Securities, Inc.: Great. All right. Thanks for that. I think I'll leave it there.
Alan S. Armstrong - The Williams Cos., Inc.: Okay. Thank you.
Operator: And our next question comes from Shneur Gershuni with UBS. Please go ahead.
Shneur Z. Gershuni - UBS Securities LLC: Hi. Good morning, guys.
Alan S. Armstrong - The Williams Cos., Inc.: Good morning.
Shneur Z. Gershuni - UBS Securities LLC: I was just wondering if we can sort of talk – I realize you haven't put out a 2018 guidance and so forth. But I was wondering if you can sort of talk about the board discussions with respect to returning capital to shareholders? You get to a point where your leverage gets in line to be able to do so. And I was wondering if you're looking at dividend increases at WMB or are you also considering potentially buybacks of WMB or even WPZ?
Alan S. Armstrong - The Williams Cos., Inc.: Let me have John Chandler take that, Shneur.
John D. Chandler - The Williams Cos., Inc.: I think the answer is, yes. I mean, we obviously are generating today around $100 million of excess cash at WMB above our dividend. And as we look forward, we have about $300 million, I think, or $400 million on a revolver, so we'll continue to pay that down over the next several quarters. And then as we look towards our dividend growth in the future and the excess cash we'll have at the WMB level, I think our guidance is the same that we've given in the past that, yeah, we'll look towards buying in WPZ units, even perhaps co-investing in projects if those opportunities existed or buying in WMB or a dividend increase. With all of those things, I think are on the table. We haven't carved any of those out. We, of course, are watching tax code changes too, and we don't expect that to happen until quite a distance in the future as we think about dividend increases. So that would kind of, I think, control what we did on the dividend front, but I don't think we've ruled out any of those options that you mentioned.
Shneur Z. Gershuni - UBS Securities LLC: Okay. Cool. And then just as a quick follow-up question. Do you guys see an opportunity to expand Overland Pass either on a small scale with pumps or something much larger in scale?
Michael G. Dunn - The Williams Cos., Inc.: Yeah. There's a lot of new production coming on both in our Wamsutter area, in the Niobrara, both the Wyoming and DJ portion of the Niobrara, and of course the Bakken volumes that ONEOK gathers as well. So a lot of incremental demand for NGL capacity out of the area. And if you add to that an expectation of the ethane market and demand market growing, and expecting them to have to pull on ethane from these regions that today, while they have ethane recovery capability, there's not ethane takeaway capacity out of the area because the NGL lines are full. I think all of that leads to some expansion in the area, and certainly Overland Pass is very well-positioned to capture that expansion. So yes, a lot of activity going on on that front, and I think a lot of people are a bit surprised by the amount of volumes that are showing up coming out of these areas.
Shneur Z. Gershuni - UBS Securities LLC: Great. Thank you very much. Really appreciate the color, guys.
Alan S. Armstrong - The Williams Cos., Inc.: Thank you.
Operator: And the next question comes from Christine Cho with Barclays. Please go ahead.
Christine Cho - Barclays Capital, Inc.: Hi, everyone. I actually just want to start with some clarification questions. In the West, all of the wet areas, with the exception of Opal, contributed to the increase in processing volumes?
Alan S. Armstrong - The Williams Cos., Inc.: Well, I think we were talking earlier – Christine, we were talking sequentially.
Christine Cho - Barclays Capital, Inc.: Right, sequentially.
Alan S. Armstrong - The Williams Cos., Inc.: Yeah. Let us provide some detail for you on that, Christine. I think the bottom line, we did see the Piceance pick up, we have seen the Niobrara picking up. And looking at kind of beginning of the quarter and to end of the quarter, the pretty dramatic increase in the Northeast as we mentioned. I realize your question is just to the West. But, really, I think the majority of the increases in the West were pretty moderate in terms of processing volume, and that's with the exception of the Southwest Wyoming area.
Christine Cho - Barclays Capital, Inc.: Okay. And then with the compressor station coming on in Wyoming and the opportunities to work with two other producers as you mentioned during prepared remarks, should we think that the G&P volumes here, like in the Rockies area, is going to continue to increase or is it just going to maybe stabilize decline so that it's flat? How should we think about that?
Alan S. Armstrong - The Williams Cos., Inc.: Well if you're talking about overall West volumes, so maybe just narrowing it to the Wamsutter area, we certainly expect some increase going into 2018 there and, importantly, a lot of liquids volumes on both the condensate side, which we gather, as well as the gas and NGL side; there'll be quite a bit of growth there. If you broaden that question to the overall West, then I do think that we'll continue to see volume growth in the Haynesville even though we're going to get up on limitations of our capacity there pretty quickly in the Haynesville. We'll be looking for expansion opportunities on top of that. We're going to see the Eagle Ford continue to grow, and we are seeing growth in the Piceance as well and the Niobrara. Of course, that is offset by places like the Barnett and the Mid-Continent and, to a lesser degree, probably continued decline in the San Juan Basin as well. So I think that's the picture I would offer you there. But overall I mean, the Haynesville volume growth is very impressive. I wouldn't expect to see another 30% growth next year just because we're going to be so tapped out on capacity on our side, but we would expect growth from 2017 to 2018.
Christine Cho - Barclays Capital, Inc.: Okay. Great. And then I don't know if there's much more you could provide. But on the Southwestern deal, can you just give some background on how did that came together? Was that a little bit of a competitive process or did one of you approach the other? And can you give us an idea of how many more opportunities like that are still available?
Alan S. Armstrong - The Williams Cos., Inc.: Yeah. Well we already have a very extensive relationship with Southwestern there because recall that was – a lot of that acreage was former Chesapeake acreage, and so we were already gathering a lot of that acreage but we weren't processing it. And so because recall Access didn't have a processing arm, and so that gas was gathered into competitors' processing systems. And so our relationship with Southwestern that we've been working on, where we reform contracts out there and made them much more attractive contracts than what they had under the former Access-Chesapeake arrangement that we announced earlier in the year, I would say started that relationship off on the right foot. We also provide services to Southwestern up in Northeastern Pennsylvania, and we've been very successful there helping them find excess capacity in that area as well. So I would tell you, our teams have worked really hard. They have a very dependable and reliable relationship with Southwestern, and I would say they form some contracts that are very aligned to both parties' interest. But it really spurred off of the fact that we had the opportunity to serve them and serve them well on the gathering side already is really what enabled that relationship to expand.
Christine Cho - Barclays Capital, Inc.: Okay. Thanks for that. And then just last question. Overland Pass. Can you remind us what the contract structure is there? Is that just based on a nomination basis?
Alan S. Armstrong - The Williams Cos., Inc.: You mean in terms of who gets curtailed and who doesn't?
Christine Cho - Barclays Capital, Inc.: Right. I just couldn't remember, like, when you guys started up that pipeline, if it was underpinned by some, like, level of MVCs or is it...?
Alan S. Armstrong - The Williams Cos., Inc.: No. It's a tariff contract, and so it has FERC tariffs on it. And it has discounted rates from the original dedications that both ONEOK and Williams enjoy. In terms of the way the capacity is allocated, it looks back to prior periods to establish your allocation. So basically build allocation capacity with your flow rates, and so whoever's been in it the longest with the most volumes and the longest has the capacity allocation.
Christine Cho - Barclays Capital, Inc.: Got it. Thank you.
Alan S. Armstrong - The Williams Cos., Inc.: Thanks.
Operator: And the next question comes from Danilo Juvane with BMO Capital Markets. Please go ahead.
Danilo Juvane - BMO Capital Markets (United States): Thanks and good morning, everyone. Just a few follow-up questions to what has already been asked. First on Overland Pass, my recollection was that to expand that system you wouldn't really need pumps. It would be a loop of the pipeline because of how the pipeline is geographically located. Is that correct?
Alan S. Armstrong - The Williams Cos., Inc.: Generally, that is correct, Danilo. That's right. There's a little bit but there's very little available. It's running pretty full already.
Danilo Juvane - BMO Capital Markets (United States): Do you have a sense, Alan, for what the investment opportunities could be for an expansion?
Alan S. Armstrong - The Williams Cos., Inc.: We haven't put that out there. And I would tell you, there's a variety of options that our teams are pursuing right now. But it's a sizable investment but we haven't put a number out there on that.
Danilo Juvane - BMO Capital Markets (United States): And to the extent that that would go forward here, you would still be able to self fund your pro rata share with that growth?
Alan S. Armstrong - The Williams Cos., Inc.: Yes.
Danilo Juvane - BMO Capital Markets (United States): Okay. And as a follow-up, I guess an extension of that question. Financially, you seem to have a lot of optionality here. Shneur I think asked a question with respect to capital allocation. Beyond considering a dividend increase or buybacks, what are you guys thinking with respect to M&A?
Alan S. Armstrong - The Williams Cos., Inc.: I would just say we've got such a great portfolio right now of high-return investment opportunities, that anything we do has got to compete with that. And so I think we've got our heads down very focused on developing the business that we do have. I would say that in areas like the Northeast, there is a lot of value in the consolidation of some of the joint ventures in the Northeast and we continue to look at that as we have for quite some time, I would say. And we continue to have a bid-ask spread between us and the various partners up there. But ultimately, I think that's something that we would certainly like to see happen but we're going to be very disciplined in what that CapEx investment is. But I'd say that that is very right in terms of that happening. You've got motivated sellers and certainly a lot of value in consolidation on our side, particularly in terms of the reduction of capital investment required to serve the growing volumes in the area.
Danilo Juvane - BMO Capital Markets (United States): Thank you so much. Those are my questions.
Alan S. Armstrong - The Williams Cos., Inc.: Thank you, Danilo.
Operator: And the next question comes from Eric Genco with Citi. Please go ahead.
Eric C. Genco - Citigroup Global Markets, Inc.: Hey. Good morning. Just as a clarification. You talk about the buybacks and such, and you mentioned during your comments that you're generating enough cash, you don't see yourself needing to access the equity markets. I know that's been the case for 2017. Is that something you foresee continuing into 2018 and beyond or is that too much of a stretch for right now?
Eric C. Genco - Citigroup Global Markets, Inc.: No, that is exactly – and previously we've said for the next several years. But I can tell you, and looking at our long range planning, we don't see a need for that. So we think we've got a growth rate that's very sustainable with the combination of both retained capital and debt capacity while maintaining some strong credit mix. So feeling very good about the capitalization right now and continuing to fund the growth that we have in front of us.
Eric C. Genco - Citigroup Global Markets, Inc.: Great. And if I think about spending in terms of next year, and I recognize you may not want to give too much detail, but we've got basically the remainder of Atlantic Sunrise, we may see a start up of some of the Northeast supply enhancement CapEx I would guess – that's another big project – and then you had talked in the Analyst Day slides about a potential $500 million of annual growth capital in the Northeast. With the agreement with Southwestern Energy, is that something in the $500 million range next year do you think? And how does that fall out? Is there a sense that you can give us as far as maybe a dip in CapEx or how that looks going into 2018?
Michael G. Dunn - The Williams Cos., Inc.: We're not providing guidance on that. But I would just tell you what we provided at Analyst Day, both in terms of those continued opportunities as well as the opportunities in the Northeast, continue to be pretty in line with what we're seeing in terms of growth opportunities for the future, so kind of steady as she goes and no big surprises there. I will tell you that we're in a very nice position to be allocating to the very best capital opportunities, and we're maintaining very high returns as a result of that. And so we do have a whole lot of opportunities, but we're being pretty disciplined about what we're investing in.
Eric C. Genco - Citigroup Global Markets, Inc.: And then I guess lastly, I guess in the timeline, and maybe this is just sort of a theoretical question, but you mentioned about next year and how you're thinking about tax reform and how that could impact some of your decisions. At some point, do you reach a point where you say okay, we can wait on Washington and see how they come out with tax reform or are there options at some point in terms of a timeline where you say we might want to take an action and we don't necessarily want to wait for full clarification from Washington on tax reform?
John D. Chandler - The Williams Cos., Inc.: No. I think in all cases, using tax code today and the amount of capital spend that we've got, we've got a fairly long window still, a period that we don't view that we'll have cash taxes at WMB. So I think we've got a long period that we can kind of wait to see this unfold. So hopefully that answers – we're not motivated to do anything quickly on that front.
Eric C. Genco - Citigroup Global Markets, Inc.: Okay. All right. Thank you.
Alan S. Armstrong - The Williams Cos., Inc.: Thanks.
Operator: And the next question comes from Shere Craig (sic) [Craig Shere] with Tuohy Brothers. Please go ahead.
Alan S. Armstrong - The Williams Cos., Inc.: Good morning, Craig.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Alan, you've talked about a number of incremental growth opportunities kind of in line with Analyst Day. Are you still saying in total with what's already disclosed and what is kind of out there on the horizon and the aggregates of 7 times EBITDA multiple on all the pending projects out, say, through the end of the decade?
Alan S. Armstrong - The Williams Cos., Inc.: Yes. I would say the returns that we've talked about on Transco, in that range, and as well the very high incremental return I'm always quick to point out in the Northeast because we can't forget about the capital we had to invest to get those opportunities. But that is continuing to be the case in these regions where we have very strong competitive advantages. So I don't really see that changing at all right now.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Great. And can you comment on the potential size and timing of additional West segment Wamsutter system expansion?
Alan S. Armstrong - The Williams Cos., Inc.: Yeah. I would say the Chain Lake expansion that we did was relatively small; I think it was right around $50 million. And so I would tell you the plans are getting bigger out there for some of the players out there. Their appetites are getting pretty big, and so we're watching that very closely and we're beginning to plan alternatives with the producers out there in the area. So I do think there's going to be continued investments of probably that size and larger as we expand the facility. But remember, we have a very large condensate handling business there already that can handle a lot of that, but we also have a lot of latent capacity at our Wamsutter processing plant. So just like in the Northeast where we've got these higher incremental returns, we're enjoying the same kind of thing in the Northeast because we have that latent capacity sitting there at our Echo Springs processing complex.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: I know you all asked the FERC to kind of take some proactive steps on Constitution. Any updates there?
Alan S. Armstrong - The Williams Cos., Inc.: Continued great work by our team. Chad Zamarin, who has been heading up our efforts there with the federal agencies, has had some very productive meetings and continuing to push the ball forward on that. And so I would just say stay tuned. It's a pure upside to our plan, but we're encouraged by some of the commentary that we've got coming out of there. But still a relatively long put when you're having to fight a state as hard as we're going to have to fight that state to win that battle. So plenty of fight left in this dog and I think we're well-positioned for what we've got. We will have a fight I suspect.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: In terms of timing to see how some of these steps kind of unfold, are you thinking that by first quarter we could have more substantive detail?
Alan S. Armstrong - The Williams Cos., Inc.: Yes, I think that's a realistic timing if not before to know kind of the next step there anyway.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Great. And last question. Can you speak to the impact across your system from the recognizing of extremely nominal direct commodity exposures? But there's been much stronger propane pricing and we're hearing word of ethane recovery just starting to kick in in the fourth quarter here. Can you speak to the impacts of those across your system?
Alan S. Armstrong - The Williams Cos., Inc.: Sure. On the propane pricing, I would say that we do have some pretty attractive hedges in place here for the fourth quarter, and we've got a little bit going into the first quarter, propanes and some of our heavies. So I think we've got pretty good margins coming through on that. But as you know, it's just gotten to be such a relatively small piece of our overall business, that's not all that big. On the ethane front, I think we have about 50,000 barrels a day that we could be recovering that is not unrecovered. But as I mentioned earlier, some of that is back behind pipelines that are constrained like Overland Pass. Some of it is not, however, in the Gulf Coast, and so we could see some pull through. In fact we are seeing some ethane recovery but I think the margin will just be as high as it needs to get to pull the ethane in until we see ethane get really short, which I think we could see, and then it's going to have to drive a margin high enough to pull in and build capacity on things like Overland Pass for those barrels. So I suspect that's going to take a little bit for the market to really realize it's going to have to pay up for that ethane before it comes on. So we'd expect some to and fro in the ethane market as it tries to grab more capacity or more productive capacity. So some exposure but I would say we've got hedges on kind of in the mid-80 range on propanes here in the fourth quarter that will dampen some of that dollar of propane that you've seen it spike up to here and there.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Great. And just a final follow-on to that. More fundamentally from a volumetric standpoint, subject of course to the debottlenecking process in the Northeast, are you starting to see increasing interest from producer customers in the wet gas Utica and Marcellus areas that could kind of feed that very long-term opportunity discussed at Analyst Day?
Alan S. Armstrong - The Williams Cos., Inc.: Yes. I think the areas that we're seeing right now that's most focused on is the dry Marcellus, the dry Utica, and the wet Marcellus. But probably I would say in order of economics right now because of the NGL whip that you mentioned just a while ago, we're seeing a lot of push into the wet Marcellus right now. And of course, the dry Marcellus is just such a terrific resource up in the Northeast, that we're going to continue to see that area grab any kind of capacity it can just because the margins are so high on that. I would say the one area that we've seen pull back a little bit is the rich Utica or the wet Utica is the one area we've seen pull back a little bit relative to the other opportunities.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Great. Appreciate the color.
Alan S. Armstrong - The Williams Cos., Inc.: Thank you.
Operator: And our next question comes from Sharon Lui with Wells Fargo. Please go ahead.
Sharon Lui - Wells Fargo Securities LLC: Hi. Good morning. Just a follow-up on I guess the Southwestern contract. It sounds like you're using existing infrastructure to meet that contract right now. But do you think there is a potential to add, I guess, additional processing or frac capacity to meet that contract as volumes ramp?
Alan S. Armstrong - The Williams Cos., Inc.: I'm going have Michael Dunn take that one, Sharon.
Michael G. Dunn - The Williams Cos., Inc.: Good morning. At our Oak Grove facility, we currently have one TXP unit there and a portion of a second one that was built a while back, so we have latent capacity in the first one that will be filled and we do think that TXP-2 will be under construction sometime next year as well to handle that capacity. So there is some incremental CapEx there but a portion of that's already been spent with the portion that was already built, so I would see certainly some capital expenditures contributed to that effort. There's still capacity in some of our frac there, so I think we're okay for now on that in that regard, but certainly would expect to see some processing capacity expansion at Oak Grove next year.
Sharon Lui - Wells Fargo Securities LLC: Okay. And TXP-2, is that another 200 MMcf?
Michael G. Dunn - The Williams Cos., Inc.: Volume? Yes.
Sharon Lui - Wells Fargo Securities LLC: Okay. Great. And just for the quarter, it looks like Northeast's CapEx ramped up pretty significantly sequentially. Was there a specific project tied to that spending?
Michael G. Dunn - The Williams Cos., Inc.: Yeah. That's primarily some of the work we're doing for Southwestern with the agreement we had earlier this year. But the majority of it is for the Genesis expansion up in Northeast Pennsylvania to support Cabot in regard to their production coming online next year. So we would expect that that ramps up obviously in the fourth quarter this year as well. Just finishing up that work. We've got a couple of compressor stations under construction there as well as some pipeline interconnects and pipeline systems being built to support that expansion.
Sharon Lui - Wells Fargo Securities LLC: Okay. Great. Thank you.
Alan S. Armstrong - The Williams Cos., Inc.: Thanks, Sharon.
Operator: And our next question comes from Alex Kania with Wolfe Research. Please go ahead.
Alex S. Kania - Wolfe Research LLC: Hi. Good morning. I guess this question is in regard to the West and related to the asset impairment I guess for the 10-Q. There is some discussion on a potential sale of some kind of assets in that segment. I was just wondering if you could give a little bit more color on that?
Alan S. Armstrong - The Williams Cos., Inc.: John, would you take that one?
John D. Chandler - The Williams Cos., Inc.: Sure. I don't think we'd contemplate selling anything right now. We were approached I guess I should say on some assets in that market that made us look at some type curves again and re-evaluate the value of those Mid-Con assets. One comment I do want to make in that the write-down was a $1 billion write-down, but our estimate of fair value has not changed materially quarter-to-quarter for those assets. Those assets were actually written up, the book value of those assets were written up back in the 2014 to 2015 timeframe when we acquired the Access assets. Got it at a very different pricing environment, and of course that's materially changed today. So actually, during the quarter our fair value estimates for these assets have changed very insignificantly. What has changed is the overall view of undiscounted cash flows, and they fell a little bit below our carrying value that the assets carried on for our books, which made us write them down to fair value. So I just want to make it clear. We don't have a change of view relative to the assets for the quarter that they changed by $1 billion.
Alex S. Kania - Wolfe Research LLC: Okay.
John D. Chandler - The Williams Cos., Inc.: At the end (01:04:30) cash flow. It's just happen to fall below that book value during the quarter.
Alex S. Kania - Wolfe Research LLC: Great. That makes sense. Thanks.
John D. Chandler - The Williams Cos., Inc.: Thank you.
Operator: And we have no more questions at this time. I would like to turn the program back over to Alan.
Alan S. Armstrong - The Williams Cos., Inc.: Okay. Thank you very much. Thanks everybody for the great questions. Really excited to see the kind of top line growth we saw this quarter from our retained businesses and very excited about the growth opportunities that are in front of us right now, and look forward to a strong fourth quarter here as well as we continue to see the projects that we've been putting online continue to contribute. So thanks for joining us and have a good day.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at anytime.